Operator: Ladies and gentlemen, thank you for standing by. Welcome to AGF Management Limited’s Third Quarter 2014 Earnings Conference Call. (Operator Instructions). As a reminder, this conference call is being recorded, Wednesday September 24, 2014. Your speakers for today are Mr. Blake C. Goldring, Chairman and Chief Executive Officer of AGF Management Limited; Mr. Kevin McCreadie President and Chief Investment Officer of AGF Management Ltd and Mr. Robert J. Bogart, Executive Vice President and Chief Financial Officer of AGF Management Limited. Today's call and accompanying presentation may include forward-looking statements. Such forward-looking statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of such statements and actual results could differ materially. For additional information regarding such forward-looking statements, factors and assumptions, AGF directs you to the caution regarding forward-looking statements, which is contained on the Page 2 of the presentation, AGF's MD&A for the three and nine months ended August 31, 2014, and AGF's most recent Annual Information Form. I will now turn the call over to Mr. Bogart. Please go ahead, Mr. Bogart.
Robert J. Bogart: Thank you, operator. Good morning, everyone. I'm Bob Bogart, CFO of AGF Management Limited. Thank you for joining us today for a discussion of our third quarter 2014 financial results. Please note that the slides supporting today's call and webcast can be found in the Investor Relations section of agf.com. Today, we’ll discuss our third quarter 2014 financial results. Joining me on the call today will be Blake Goldring, Chairman and CEO, Kevin McCreadie President and CIO of AGF Management. Turning to Slide 4 with the agenda for today's call. We’ll discuss the highlights of the third quarter, provide a business update on the key segments of our business, review the financial results, discuss our capital and liquidity position and finally we’ll close by outlining our focus for the remainder of 2014. After the prepared remarks, we will be happy to take questions. With that, I will turn the call over to Blake.
Blake C. Goldring: Thank you Bob, and thank you everyone, for joining us on today's earnings call. We made some significant progress on our strategic plan this quarter. Our improving investment performance continues to hold. Nearly half of our AUM is above median over a one year period. Assets under management increased to $37 billion. We closed the first fund on our alternatives platform. The Board approved a $0.27 per share dividend consistent with previous periods. On previous calls I talked about our investment in talent. As part of that commitment, we welcome our President and Chief Investment Officer Kevin McCreadie who officially joined our firm during the quarter. Kevin joined us after an extensive global search. We screened over 300 candidates and had this conversation with a number of highly qualified individuals. Kevin brings over 30 years of experience to AGF. Most recently, he was President and CIO of PNC Capital Advisors the asset management subsidiary of PNC Bank, the sixth largest bank in the United States. He spent time at a number of asset management firms, has managed assets sales as a U.S. equity manager, he has worked at JPMorgan and has experience across a broad range of asset classes. Kevin’s responsible for both our investment organization and our institutional business. Before I pass it over to Kevin, I’ll provide an update on our retail business and our [Alt] [ph] platform. Turning to slide six, I’ll start with retail. Over the course of our fiscal Q3 markets were overall strong, despite geo political tensions in Europe and the uncertainty brought on by the Scottish referendum vote, U.S. equity markets reached all time highs and Asian and Latin American equities also posted solid gains which helped investor sentiments. The Canadian mutual fund industry continues to be healthy. Industry AUM and its sales are significantly higher on a year-over-year basis. Equity funds which have been participating in this growth softened somewhat recently. According to [EAFE] [ph] Equity Fund, net redemptions were $85 million in August following a tough July when equity funds experienced net redemptions of $713 million. AGF’s mutual fund net outflows have improved for 19 consecutive months when compared with the same month in the previous year, as shown on the slide. In the current quarter, mutual fund net redemptions were 13% lower than Q2, 3.7% lower than last year. Reducing redemptions has been our initial focus and our next step will be increasing the level of gross sales. To that end, AGF has three strategic priorities in our retail business. One, enhance the firm’s overall investment performance, two, work closely with strategic business partners to facilitate distribution, and three provide innovative product solutions around specific needs. As previously mentioned, our investment performance has improved. The improvement in our one year number has contributed to a reduction in gross redemptions. Three year performance above median will be a key to driving higher gross sales and ultimately net flows and I could say we are well on our way. We continue to cultivate our relationships with strategic partners. We have secured about $350 million in new mandates with strategic retail partners over the last four quarters. We also recently notified of our $150 million win that we’ll fund in early 2015. Our distribution partners increasingly value AGF investment capabilities, our independence and brands. Product innovation has been a positive story line for us. In 2012 we launched the AGF floating rates income fund and AGF focus funds. These funds address investor needs around income and diversification. Last year, we introduced the AGF U.S. AlphaSector Class, a solution designed for investors concerned about the stock market volatility. Together, these new funds now have over $1 billion in assets. We are also structuring a portion of our products to help facilitate the advisors move towards fee-based platforms and addressing the needs of high net worth investors. We lowered pricing on our fee-based series which does not pay a trailing commission but rather allows the advisors to deal with the service fee separately. We are also actively marketing AGF Gold Label, which is targeted at affluent investors and has tiered management fees. We expect to launch more innovative products in the coming quarters. We are working on an innovative solution at present for yield oriented investors. Although our alternatives platform is primarily targeted with our institutional clientele, we are always looking at ways to deliver this capability in our retail oriented product to high net worth clients. I’ll now provide a brief update on the alternatives platform. Turning to slide seven, InstarAGF is our alternative asset management platform. AGF formed the joint-venture with Instar, founded by Greg Smith. Greg is leading the joint-venture in providing intellectual capital. AGF has committed cornerstone capital and will provide distribution and administrative support. Greg is a 20 year industry veteran with unparalleled experience investing in real assets. He is a former Managing Director of Brookfield’s Global Infrastructure Advisory Group and past President of Macquarie Capital Funds Canada. Greg is also the Chair and past President of Canada’s Venture Capital and Private Equity Association. Our strategy is to build platform, not just launch a single fund. In addition to the infrastructure fund, over time we’ll consider follow on products that may include managed debt, direct real estate and bio funds. Progress to date has been encouraging. Last month, we completed the successful final close of our first private equity fund in midstream energy infrastructure assets. This fund, Stream Asset Financial or Stream was over-subscribed at $210 million. Stream is well underway on investing the committed capital, deal flow has been solid and we’re encouraged by the pace of capital deployments. Looking ahead, InstarAGF targets launching the essential infrastructure funds by the end of 2014. This fund will invest in asset such as social infrastructure, wind and solar energy. While still early days, we remain very excited about our strategy in the space and investor reaction to this investment class. We believe that this is a great way for AGF to deploy capital to support a new source of organic growth. Bob will address the financial implications of this venture a little bit later. For now, I’ll turn the call over to Kevin, who will give you his inaugural update on investments and our institutional business.
Kevin McCreadie: Thanks Blake. I’ll start by talking about the investment platform on slide eight. After having been at AGF now for a few months, I can share some initial views of the capabilities of our teams. Based on the work I’ve done to date I can tell you we have a lot of very talented investment professionals and that includes recent additions to the team such as Peter Imhof, who has taken over as Lead Manager on AGF Canadian Growth Equity Fund. We also have strong established teams and an example would be our global team, led by Steve Way. Our Global team manages strategy in key categories such as global core, emerging markets and global dividend. Global core has an impressive long term track record and ranked in the first quartile of most risk adjusted performance measures among its peers. The opportunity I see is to apply process discipline and risk orientation to many of our existing strategies. The goal is to limit the downside while maintaining the ability to capture up markets. As CIO I’ll also be looking at risk management holistically to ensure we are not taking any concentrated risk across the firm. Our investment performance has improved over the past few quarters and I am confident that by implementing the process and risk measures I referred to, we can sustain this improvement and eventually meet our targets. Over time, we should have 60% of our AUM above median over three years and 50% above median in any one year. If we do this in a disciplined fashion, we will see our proportion of four and five star funds increase as well. As Blake mentioned, this is what we need to fulfill the value proposition we have committed to deliver to our clients. Turning to slide nine I will touch on our broader institutional business. Part of what attracted me to AGF is how well our investment strategies align with the management and the institutional market place. The continuing trend we hear from plan sponsors and consultants is the move to reduce home country buyers and invest in global oriented strategies. As I mentioned earlier, we have a great global team in place with a well defined process and strong risk adjusted performance. It is market ready and there are some promising opportunities we are working on now. Sales however have not been as strong as it could be and we have an opportunity to capitalize on our global strategies even more in the future. First I think we need to utilize commingled vehicles to a greater degree and target a wider range of mandate size. Today, we have brought in a lot of large segregated accounts and even our pooled vehicles such as UCITS the size of our client is large. Particularly with UCITS, at this initial scale there is an opportunity to market the product more widely and diversify the client base. We will also be working hard to capitalize on the progress we have made within our consultant relations. We run four consultants buy ratings from tier 1 firms in the U.S. While this doesn’t guarantee sales, if one of these consultants has a client need that lines up with one of our rated strategies we have enhanced our chance to win that business. I’ll also cover the detailed information we show on slide nine which provides specifics on our pipeline. Our Q2 pipeline had gross sales of $100 million which funded in Q3. In Q3, we also had $196 million in redemption. So we had $96 million in net redemptions in Q3. Note that the $96 million does not include the $210 million closing of our first alternative fund that Blake mentioned previously, Stream. Including the $96 million of net outflows in Q3 here to date, we have had net positive flows of $361 million in the institutional business. In our committed pipeline we have a $105 million of committed sales which is offset by redemption notices and our net pipeline now sits with redemptions of $109 million. Keep in mind this institutional pipeline does not include the $150 million commitment that Blake mentioned in the sub advisory segment which will fund in early 2015. That covers the activity in our traditional or public market institutional product offering. As Blake pointed out starting later this year, we will have an offering in the private market space with the launch of the AGF Instar Essential Infrastructure Funds. With that, I will now pass the call over to Bob, who will walk you through the financials.
Robert J. Bogart: Thanks, Kevin. In our published financials and MD&A you will notice that our presentation has been divided into continuing ops and discontinuing operations. This is consistent with the presentation of our result from previous quarters. Discontinued operations are identified as a single line item just below the income from continuing operations. Slide 10 reflects a summary of our financial results from continuing operations for the current quarter as compared to the previous quarter into Q3 2013. EBITDA for the quarter was $38.5 million up slightly from the previous quarter’s EBITDA of $38.1 million. The improvement was driven by a lower SG&A reflecting one time fund cost recognized in the previous quarter which were incurred through complete changes to our fund line up. EBITDA was essentially flat from a year ago. Revenue was down slightly in the quarter as compared to sales charges were lower versus Q2, 2014. Our equity pickup [fund] [ph] Smith & Williamson was also lower than prior quarter due to seasonality. On a full year basis, Smith & Williamson has delivered 28% year-over-year growth due to business expansion in favorable markets. Third quarter EPS came in at $0.17 per share compared to $0.17 per share with Q2 and $0.11 per share versus Q3 of 2013. Turning to slide 11 I’ll walk through the basis point yields on our business. Now to the slide we regularly discuss on our call that shows our investment management revenue and operating expenses and EBITDA as a percentage of average AUM on the current quarter, and the prior year’s quarter as well as trailing 12 month view. Note that the results reflect their core investment management business excluding one time items and other. With respect to revenue, the operations reflect quarter-over-quarter increase in revenue yield due to an increase in mix of retail business per dollar of AUM which is fairly consistent with the previous 12 month period. SG&A as a percentage of AUM compared to prior year is lower as a result of lower compensation expense. For fiscal 2014, we expect SG&A to be consistent with our guidance provided on previous calls of around $175 million. Now this guidance as we’ve talked about in the past could be impacted by performance related compensation and market volatility. Turning to slide 12 I will discuss free cash flow and dividend coverage. This slide represents the last five quarters of free cash flow shown by the blue bars on the chart that cash flow represented is consolidated free cash flow. Our Q3 payout ratio was 97%, free cash flow was impacted by a variety of items quarter-to-quarter. In Q2, we historically experienced higher DSC payments associated with the RSP season. The summer months represented more normalized trends reporting higher free cash flow. We are prepared to spot the dividend as long as financially prudent as discussed in the past, this is a decision that the board will make on a quarter-by-quarter basis depending upon a variety of inputs and outputs. We currently have 278 million in cash and short term investments on the balance sheet with net debt of only $30 million and a gross debt to capital ratio of 25%. With respect to future capital uses, our current capital committed for the alternatives platform is $150 million. $50 million of that amount relates to the stream energy infrastructure fund of which $17 million has already been funded. The stream general partner is currently cash flow positive as the fund charges a fee to investors based on committed capital. As Blake mentioned, the final call to that fund occurred in July. In addition to our GP investment HFC investment in the fund has contributed to cash flow and earnings immediately. The remaining $100 million is committed to the essential infrastructure fund. FC Capital commitment will take upto three years to deploy. As the general partner we expect that the management fee revenue will be offset by the expenses associated with building off the platform until such time the second fund is launched. With respect to our expectations as a seed investor it will take longer for profits and gains to be recognized from this fund as investments are more likely to be development stage in nature. We are not active with the NCIB in the quarter, however since the sale of AGF Trust in Q3, 2013 we have repurchased 12 million shares or roughly 12% of our total shares outstanding at an average price of $11.56. Going forward, the NCIB will be used to purchase shares for the employee benefit trust and to step in on an opportunistic basis when the stock movement is erratic. Now turning to slide 13, I’ll turn the call back to Blake to wrap up.
Blake C. Goldring: Thanks Bob. In closing, I’ll like to reinforce where our priorities are for the remainder of 2014. One, we’ll endeavor to maintain the upward trend in our overall investment performance. As performance improves, we’ll aim to make further progress on reducing net redemptions. Two, for institutional business we’ll capitalize on the opportunity we have with our global strategies, use it and the momentum with the consultant community. We’ll launch the initial infrastructure fund by year-end. Three, we’ll continue to maintain our focus on cost. With that, I want to thank everyone on the AGF team for their hard work over the quarter. I’m proud of the results we have achieved so far in 2014. We’ll now open the call for your questions, thank you.
Operator: (Operator Instructions) Our first question comes from Paul Holden from CIBC. Please go ahead.
Paul Holden – CIBC World Markets, Inc.: Thank you, good morning. I want to start with the institutional business. So you’ve highlighted a number of positives over the last few quarters on the buy list from consulting firms, strong numbers out of the global core product, the UCITS etcetera that hasn’t really translated into positive net sales over the last couple of quarters. So maybe you can comment why and why that might change over the next 12 months?
Kevin McCreadie: Yeah, thanks Paul. As you know the institutional business is a bit lumpy, search activity is it wanes, it comes and goes but frankly we’re seeing some pretty good level of RFP activity right now. How that plays out though is obviously uncertain, but given the strong performance we’ve had in global core and the fact that that is a category we see as an increasing demand from consultants and plant sponsors should line up well as we look out into the future. But obviously performance is the key driver which has been incredibly solid there.
Paul Holden – CIBC World Markets, Inc.: Okay. And are there other mandates you are still selling into the institutional channels or is it primarily with the focus on global core?
Kevin McCreadie: No, not at all. The number of mandates right now are getting a fair amount of activity emerging markets, EM value, global dividends to name a few. Some of our environmental strategies or ESG strategy is also as you have seen in the news a strategy in the industry that’s starting to pick up some color. So yeah, it’s broader than global core.
Paul Holden – CIBC World Markets, Inc.: Okay. And then with respect to the build out of the alternatives platform I guess with reference to the [MSDA] [ph], I think it’s the Bio funds that Blake mentioned, maybe you can give us some sense of the kind of capabilities you need to add to be able to sell those types of product offerings. Or do you have – or can you use the Instar infrastructure and people today to expand into those products?
Blake C. Goldring: Yeah. I mean a couple of points on that. First, Paul, we’re really focused on getting the essential infrastructure fund to market, so that’s obviously the near term goal. We are -- we do believe in kind of a controlled growth approach, but the idea would be in the next verticals that we want to build out underneath the InstarAGF platform we have the infrastructure in place to accommodate that. It will require additional skill set in terms of intellectual capital that we’ll need to acquire. And so that will be a steady growth approach over the next several years.
Paul Holden – CIBC World Markets, Inc.: And then are there any capital raise targets you can share with us regarding the essential fund?
Blake C. Goldring: Well, I think we’re tentatively looking at $750 million as of the target.
Paul Holden – CIBC World Markets, Inc.: Okay. And that would include an initial seed commitment from AGF?
Blake C. Goldring: And several other cornerstone investors.
Paul Holden – CIBC World Markets, Inc.: Okay. Okay. Final question with respect to retail flows. Your gross redemptions have improved significantly year-over-year, but at the same time your gross sales are down year-over-year. Blake, you mentioned that part of the gross sales issue is the three-year number, so first question on that point is what percentage of AUM is above median on the three-year basis now? And is it just simply a matter of waiting for that three-year number to get better to fix the gross sales issue?
Blake C. Goldring: Yeah, Paul, currently we’re seeing a 25%. It’s trending upward though and we’re probably 18 months into a complete turnaround there, brief [highlight] [ph] of the progress we’re making, and I’d point out too, you take the look at the redemptions that we’re facing. Today it’s really 50% are really in client funds, so we’re making good progress.
Paul Holden – CIBC World Markets, Inc.: Okay. That’s all the questions I had. Thanks.
Blake C. Goldring: Thanks, Paul
Operator: Our next question comes from Stephen Boland from GMP Securities. Please go ahead.
Stephen Boland - GMP Securities: Just a couple of questions. Good morning. Just the amount of co-invest on the new fund, Bob. You said a 100 on 750 that’s a lot lower than the co-investment on your first fund. Is that just because now you’re in the market you can actually co-invest a lot lower percentage or is it due to the type of fund that you’re launching?
Blake C. Goldring: Yeah. I think it was just – it was – factor or circumstances - as we develop that first fund, Steve. It was – I don’t think one really has something to do with the other. I think you want to – in terms of percentage I think the important -- the important aspect is that the manager as well the sponsor are totally aligned towards the success of the fund and so it’s just various levels of commitment to do so.
Stephen Boland - GMP Securities: Okay. So maybe just on the tax, I just want to make sure I’m reading this right. So can you just give me an update based on the notes there, on the 2008, what sort of…
Blake C. Goldring: Are you referencing the note in the financial statement, Steve?
Stephen Boland - GMP Securities: Yeah.
Blake C. Goldring: So, let me take a minute just to explain that. So, there’s really no real update to provide with respect to progress of the dispute with the CRA. However, as we did mention in the financials during the quarter we received another proposal letter from the CRA relating to the 2008 tax year transfer pricing and allocation of income issue. That was – we were expecting this notice from the CRA. It would increase the company’s taxes by approximately $14 million before the application of any interest and penalties for the 2008 fiscal year. It has no bearing on our tax provision because we had previously provided for the tax adjustment for all affected periods last year when we were undergoing this particular issue with CRA. And as we plan to dispute this assessment along with all the previous assessments received, it will require an additional tax deposit payment as part of that objection process so we’ll make another payment to the CRA once we receive the formal assessment.
Stephen Boland - GMP Securities: Okay. Then obviously, looks like they’re just going 2008, 2009 subsequent years? And are you provisioned for those as well? I can’t remember if…
Blake C. Goldring: We are. But going forward the 2009 tax years to the current years will be covered under the advanced pricing agreement which we’ve entered into with the CRA and the foreign jurisdiction. So, no additional assessments are going to forthcoming from the CRA with respect to that transfer pricing issue until that APA process has been completed.
Stephen Boland - GMP Securities: Okay. And sorry, the provision has been -- that amount has been removed from your cash balance, that $278 million you quote in the slides?
Blake C. Goldring: No. It hasn’t been paid yet, Steve.
Stephen Boland - GMP Securities: Okay. I just want to make sure which one is guaranteed. Okay. I’ll re-queue. Thanks very much.
Blake C. Goldring: Thanks
Operator: Our next question comes from Graham Ryding from TD Securities. Please go ahead.
Graham Ryding - TD Securities: Yeah. Thanks. Just on your color around the free cash flow from the infrastructure side of things. What are you expecting in incremental cash flow or EBITDA perhaps next year related to I guess the stream fund that you’ve already launched?
Robert J. Bogart: I guess, let me address that in two parts, Graham. Good morning. As an investor in the LP fund, AGF will recognize incremental earnings in cash flow based on the underlying investments as the partner’s capital is deployed. As you’re going to appreciate that capital is employed over time. With respect to stream’s specifically these are current pay investments and the expectation is for a 10% to 12% yield to be return to the investors. So that’s the guidance I’ll provide you there. As a member of the GP, we account for that on equity method basis and so we’ll participate in the portion of the fees net of expenses and any carry incentive payments that are paid if they are indeed earned, but that’s back ended towards the back half of the year of the partnership’s life.
Graham Ryding - TD Securities: And the partnership life is what, a five to seven-year horizon or what should I think about?
Blake C. Goldring: Five, right, five to six.
Graham Ryding - TD Securities: And I know it’s the $210 million is a commitment that’s closed. What’s actually invested today?
Blake C. Goldring: Roughly 50%.
Robert J. Bogart: We’d expect 50% to be deployed by year-end.
Graham Ryding - TD Securities: Okay. Okay. And so with that your $17 million that you’ve contributed in direct seed capital, do you expect that to increase in the same proposition?
Blake C. Goldring: That’s correct.
Graham Ryding - TD Securities: Okay. And then just follow-on Stephen question with the CRA, I know it’s your favorite topic to answer questions about, but what is the – I guess what is the downside, if the appeals process doesn’t go in your favor and you have to get assessed for you have to pay full amount, what is the full exposure there for 2005 to 2008?
Blake C. Goldring: I think all of that is pretty much disclosed in the financial statements.
Graham Ryding - TD Securities: Okay.
Blake C. Goldring: So I’ll pass on the question.
Graham Ryding - TD Securities: Okay. Okay, I’ll re-queue. Thanks
Operator: Our next question comes from Gary Ho from Desjardins Capital. Please go ahead.
Gary Ho - Desjardins Capital: Thanks, Kevin. Now that you’ve set up in your role for couple of months, just wanted to hear more about your strategy, I know you give a brief overview of it. And what are some changes you’ve made since coming on board and what are if any changes that you’re contemplating for the next 12 to 18 months?
Kevin McCreadie: Thanks, Gary. Obviously, the first, it’s only for the few months, but I’ve taken a process focus, so we do a lot of things. So it’s going to take a little bit of time to get my hands and arms around all of it. But I would tell you that the initial focus of my efforts is around each investment process and really trying to drive toward that consistency that we’ve talked about in terms of return stream, so what does that mean practically, it means, making sure that those processes are repeatable, that we’re taking the appropriate amount of risks for that specific mandate. That the sizing of the different that’s whether the industry, company specific, country, etcetera are appropriate for that mandate. And the idea is to optimize as I said earlier, really the upside would be try to minimize the downside on those. So early observations are I think the talent’s very good. But there’s some process work we have to do. Not all the products, but particular ones that we’ll work through over time. So, that’s been the main focus. Second focus is been on clients. We tried to get out and see as many as large clients as possible to explain what we’re going to do and that’s equally important as we roll through these first couple of months. In terms of what I’m going to do? It’s really around, I think it’s continuing to just refine homes, so I would not expect a large scale change in personal or strategy. And what we do -- hopefully if we do it right would be seamless and seamless to the client but just show up in performance.
Gary Ho - Desjardins Capital: Great. And then maybe just follow-on, we haven’t really talked about the UCITS program for while. Just wondering if you can give us a broader update and what is does the pipeline look like there?
Robert J. Bogart: Thank you. So UCITS we launch late last year. We got north of $700 million in the structure right now. We’ve got two flavors or two products within it. So as we look at forward our goal is to further deepen the pipeline there by broadening out the accessibility. So, practically speaking what that means, broadening it to different countries within Europe, finding ways to distribute it at different size potentially looking at different share classes, to appeal to different potential investor audiences. So again, I think off to an early start with $700, but it’s a place we strategically will grow over the next few years.
Gary Ho - Desjardins Capital: Can you give any targets over the next couple of years?
Robert J. Bogart: Yeah. Too soon to tell but something we probably wouldn’t give you a forecast on anyway.
Gary Ho - Desjardins Capital: I thought that I’d try. And then, just a quick follow-on question on the CRA tax. You mentioned that you guys will be paying that out. Any idea when that payment might be made?
Robert J. Bogart: It could be as earlier as Q4, Gary, but I never. I don’t put much faith in the bureaucracy of the CRA, so it could slip into Q1.
Gary Ho - Desjardins Capital: Okay. That’s it from me. Thanks very much.
Operator: Our next question comes from Geoff Kwan from RBC Capital Markets. Please go ahead.
Geoff Kwan - RBC Capital Markets: Hi. Good morning. My first question was just with the dividend staying where it is and there maybe the potential of being removed from the dividend or risk cap index later this year. Is the plan is just to kind of see where the share price goes and then if you need to, use the cash or the availability on the balance sheet just to buyback shares in the market or just thoughts around that?
Blake C. Goldring: Yeah, Jeff, look, we’re aware of the dividend in tax issue and we’ve got NCIB in place which is available if trading stock become erratic.
Geoff Kwan - RBC Capital Markets : Okay. And then, the second question I had was around Smith & Williamson. It’s now that you helped for many a year and there’s been talk at certain points of time of potential – IPO potential sales, just wanted to see if there’s any sort of update or thought process around what you like to do with that investment?
Robert J. Bogart: Yes, Jeff, it’s Rob. We’re happy with the progress that the firms made over the last couple of years. We’re intimately involved in terms of our board representation. I will say going public as a method of providing shareholder liquidity is discuss as part of a set board agenda, but at this point in time we don’t envision that happening in the short term, and like I said we’re quite comfortable with the progress that business has made and cash flow that it generates.
Geoff Kwan - RBC Capital Markets : Okay. And the last question I had was just following up on some of the questions on the UCITS side. In terms of some of the growth opportunities that you’ve talked about, how do you think about in terms of the cost of getting that growth? Is it something where you’re willing to make that initial investments to try and get those whether or not through different distribution channels or different product channels to try and grow that business significantly from a margin perspective on that business?
Robert J. Bogart: As you know UCITS is just a vehicle, it is way for us to scale and collectively pool in assets in some jurisdictions obviously serving clients can only use the pool vehicle. So for us it’s not on that scale without meeting end client demand. Frankly, if you look at the cost of share class etcetera, once you put structure up, it’s not that material in terms of any kind of margin degradation there. So I think we have some flexibility to do we need to do to help build out that distribution. And we’ll look at to be creative about how we create those distribution opportunities rather than we may think about renting etcetera, but that strategy is going to evolve over the next couple of quarters.
Geoff Kwan - RBC Capital Markets : Yeah. Meaning in terms of the cost of actually running I guess that’s probably relatively straightforward. I was thinking little bit more around if there’s kind of marketing and advertising those types of expenses to try and cater to certain types of buyers of those UCITS?
Robert J. Bogart: Yeah. I don’t see large scale marketing around that, it’s really a different sale. It’s a sale through intermediaries consultants etcetera partners on in different jurisdictions. So you wouldn’t -- I wouldn’t expect to see a large dollar spend there.
Kevin McCreadie: Just add to that, Jeff, the idea with respect to the UCITS to leverage other partners or distribution partners, marketing and distribution infrastructure. So, we’re not going to replicate that in Europe. We’re going to leverage that by virtue of providing the investment management. They will then take that on in terms of actually selling the funds and the products and mandates into their distribution network.
Geoff Kwan - RBC Capital Markets : Okay. Great. Thank you.
Operator: Our next question come Scott Chan from Canaccord Genuity. Please go ahead.
Scott Chan - Canaccord Genuity: Thanks, Rob. Just one last question on UCITS, you have two existing products within that platform. Is there any talk of adding more products to help increase the sales in that platform?
Robert J. Bogart: Yeah. We’re looking at that now. It’s too soon to tell what that’s going to be. EM Valve is probably one – its probably one that we’re thinking of launching more products, but yeah, too soon to tell what that look like. That work will involve again as we look at strategy over the next few quarters.
Operator: (Operator Instructions) We do have a question from John Aiken from Barclays. Please go ahead.
John Aiken - Barclays: Good morning, Blake. I just wanted to touch on the expenses, it does look like you’re back on run rate for hitting your guidance along with Kevin’s commentary about not having to rationalize with the investment professionals, is there any other reductions in the SG&A run rate that we should be looking for, obviously in your commentary you talked about decline in compensation cost, but is there anything ancillary after that has happened that we might actually see some reductions in cost going forward?
Robert J. Bogart: Thanks John. Now we’ve been focused on the cost side for four to six quarters now. We’ve reduced our headcount through efficiency gains by approximately 6% from year ago. And lets say, at the moment we’re comfortable where we at from a cost perspective. We certainly do have capacity to handle additional AUM growth. So, I wouldn’t guide anything lower at this point. There are no real ancillary follow ons to the cost structure gains that we’ve made today.
John Aiken - Barclays: Thanks, Bob. And I apologize if I missed this earlier, but within the alternative asset management funds that came. And I think in the MD&A, it was talk about and $11 million return on capital on an additional $28 million investment. But what was the mechanism around this and was there any actual impact on the P&L from the $11 million return on capital?
Robert J. Bogart: Any impact on the P&L would have been is disclosed I think MD&A in terms of the earnings associated with stream. The reason we got the return on capital with respect to the initial close in the fund in the quarter, which happened in beginning of the June. And so that was just to right size our initial seed investment as the fund was getting launch. So as other investors came in we were just pro rata allocated down.
John Aiken - Barclays: Understood. Thanks Bob.
Robert J. Bogart: For the 28 and 11 john, next to the 17 that we have in the fund currently.
John Aiken - Barclays: Great. Thank you.
Operator: We have no further questions at this time.
Robert J. Bogart: Thank you very much for joining us today. Our next earnings call will take place on January 28, 2015 when we’ll review our fourth quarter results and fiscal 2014. Details of that call will be posted on our website. Finally, an archive of the audio webcast of today's call with supporting materials will be available in the Investor Relations section of our website. Good day everyone. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.